Operator: Good morning. My name is Brian and I will be your conference operator today. At this time, I would like to welcome everyone to United Therapeutics Corporation 2015 Fourth Quarter and Annual Financial Results. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-answer session. Remarks today concerning United Therapeutics will include forward-looking statements representing the company's expectations or beliefs regarding future events. The company cautions that these statements involve risks and uncertainties that may cause actual results to differ materially. Please see the company's latest SEC filings, including Form 10-K and 10-Q for additional information on these risks and uncertainties. The company assumes no obligation to update forward-looking statements. Today's remarks may also include financial measures that were not prepared in accordance with the U.S. generally accepted accounting principles. Reconciliations of non-GAAP financial measures to the most directly comparable U.S. GAAP financial measures can be found in our earnings release available in our website at www.unither.com. Finally, please note that today's remarks may include reporting on the progress and results of clinical trials or other developments with respect to the company's products. These remarks are intended solely to educate investors about the company and are not intended to promote the company's products, to suggest that they are safe and effective for any use other than what is consistent with their FDA approved labeling or to provide all available information regarding the product, their risks or related clinical trial results. Anyone seeking information regarding the use of one of the company's products should consult the full prescribing information for the products available on the company's website at www.unither.com. Thank you, Dr. Rothblatt. You may begin your conference.
Martine A. Rothblatt - Chairman & Co-Chief Executive Officer: Thank you, Brian. Good morning, everybody and welcome to United Therapeutic's full year 2015 and fourth quarter 2015 earnings call. Joining me on the phone this morning is our President and Co-CEO, Dr. Roger Jeffs, who will lead the call, as well questions can also be directed to our Chief Strategy Officer, Andy Fisher and our Chief Financial Officer, James Edgemond. Roger would like to begin with an introductory set of remarks to provide the scope for the call. Dr. Jeffs, could you please begin.
Roger A. Jeffs - President, Co-Chief Executive Officer & Director: Yes, certainly, and thanks for the introduction, Martine, and I'd also like to welcome Dr. David Zaccardelli, our Chief Operating Officer, who's also on the call today. Welcome to all of those listening in this morning. 2015 was another banner year of growth for United Therapeutics, both in terms of therapeutic reach of our products to the patients that we endeavor to serve and with respect to operational performance. I'll take the opening time period to provide a summary across two main areas. First, I'll review our annual and quarterly financial results. And secondly, I'll provide some brand-specific updates with principal focus on Orenitram. With regard to the financial performance, we're very pleased with our top line 2015 financial results, as total revenues approached $1.5 billion, a 14% increase compared to 2014. These strong financial results generated annual net income of $652 million, a 92% increase from 2014 and non-GAAP earnings of $632 million, a 26% increase from 2014. With respect to Q4, quarterly revenues were $405 million, an increase of 17% or $59 million as compared to Q4 2014. This represents our highest ever quarterly revenues. These gains were driven primarily from an $18 million increase in Adcirca net product sales to $92 million, a $17 million increase, and Orenitram net product sales to $37 million, and a $15.7 million in net product sales of Unituxin which we launched in the third quarter of 2015. Remodulin and Tyvaso also experienced low-single digit revenue growth quarter over quarter as well as year-over-year, reflecting the continued durability of these products. Our reported GAAP net income was $105 million or $2.10 per diluted share for the quarter ended December 31, as compared to the net income of $116 million or $2.17 per diluted share in the fourth quarter of 2014. Our non-GAAP earnings for the quarter grew 21% to $183 million or $3.68 per diluted share as compared to $152 million or $2.83 per diluted share in the fourth quarter of 2014. The significant non-GAAP earnings adjustment for the quarter excludes the impact of our share-based compensation expense. A reconciliation of reported GAAP net income to non-GAAP earnings is provided in our financial results press release. We continue to report non-GAAP earnings for investors to evaluate and compare the performance of our core operations. Turning to the balance sheet and the statement of cash flows, as of December 31, cash, cash equivalents and marketable securities approached $1 billion and the net increase of $174 million since December 31, 2014 is primarily due to both the positive cash flow generated from operations totaling $383 million and the $350 million sale in Q3 of our Rare Pediatric Priority Review Voucher received in connection with Unituxin's approval. These increases in cash were partially offset by the repurchase of our common stock for $394 million under a share repurchase plan authorized in 2014 and completed in 2015 and the settlement of early convergence of our convertible notes in the amount of $133 million. Overall, the very strong financial results of the fourth quarter and full year of 2015 will enable us to continue returning value to our shareholders by advancing our innovative product pipeline, as well as by repurchasing shares through our current $500 million share repurchase program. Now I'll switch gears and, as promised, I'll spend a little time on brand-specific performance, specifically, Orenitram. As already mentioned, Orenitram continues to grow with Q4 being our strongest revenue quarter, having achieved 8.4% greater revenue than in Q3 and 85% higher than Q4 2014. Orenitram revenues were driven principally by new patient starts, which were 14% higher in Q4 than in Q3 2015 and 105% higher than in Q4 2014. The growth in new patient starts continues to be driven by an increasing number of prescribers. We now have over 600 prescribers who have started a patient on Orenitram. Similar to previous quarters, approximately 70% of starts in Q4 were from patients new to prostacyclin, with 30% being transitions from either Tyvaso or Remodulin. And while this has kept the growth of Remodulin and Tyvaso relatively stable, it is important to note that the total number of patients on any form of treprostinil continues to grow, which, again, achieves our stated objective of treating more and more patients with one of our available forms of treprostinil. Across all patients on Orenitram, the average total daily dose is 10.2 milligrams, similar to Q3. We anticipate this average will increase as increasing number of patients begin their second commercial Orenitram therapy. To this end, we continue to assess longitudinal dosing patterns. We reported in Q2 that the average total daily dose across all patients was approximately 8 milligrams at three months, 10 milligrams at five months and 12 milligrams at 10 months. Those numbers remain consistent with more and more patients achieving those exposure levels. We can now add that the average total daily dose is approximately 13 milligrams at month 12 and 14 milligrams at month 14. This continues to support that dose titration is most aggressive in the early titration phase and then continues at a slower pace as the balance of benefit to risk is achieved, but, nonetheless, titration continues as is expected and, as has been shown historically, is required for this class of therapy. There will, obviously, be greater and greater impact of dose on revenues as patients increase their duration on therapy. Internally, we know that future revenues can be closely predicted by the number of patient referrals in the preceding quarter. Q4 referrals were approximately 10% higher than Q3, which, obviously, bodes well for Orenitram performance in Q1 of this year. In fact, January was our highest revenue month ever for Orenitram. Having said that, we appreciate that, with the January launch of Uptravi, Actelion's non-prostanoid IP1 selective agent, that there is a great deal of investor interest in the potential impact to our prostacyclin franchise. It is obviously very early in the Uptravi launch cycle, but as noted, January was our highest month of revenue for Orenitram. Of course, it is not unrealistic that there could be a near-term competitive impact. We continue to believe that there is room in the oral prostacyclin space for both companies to succeed and that promotion of the prostacyclin pathway by both companies will only enhance awareness and increase the overall number of patients treated by prostacyclin. And let me explain why we view this competition as a good thing. Our view is this is a marathon and not a sprint, as PAH is a chronic and typically slowly progressive disease. Life expectancy is years and not months. Orenitram possesses multiple factors that make it well-suited for success of the duration of this disease course. For example, preceptor binding diversity of treprostinil provides not only IP1 vasodilator activity, but broader binding to DP1 and EP2 receptors that conveys inhibition of platelet aggregation and anti-proliferative effects, thus addressing the hallmark pathologies of vasoconstriction, platelet aggression, and intimal and smooth muscle cell proliferation. Thus, treprostinil pharmacology directly addresses the multiple pathobiologies that exist. But perhaps most importantly, like Remodulin, and it's clearly noted with our longitudinal dosing data, Orenitram is aggressively titratable without a label dose ceiling, as is the case with Uptravi. Thus, Orenitram provides a viable management option for today – not only for today, given its pharmacologic diversity, but also for tomorrow, as an absence of label dose ceiling means that this unrelenting disease can be continually managed with escalating dose. These critical attributes speak strongly to the long-term value proposition of treprostinil portfolio. And with those comments, Martine, I'll turn the call back over to you.
Martine A. Rothblatt - Chairman & Co-Chief Executive Officer: Roger, just an absolute brilliant overview of the entire pulmonary hypertension field. Thank you. Thank you so, so much. Brian, we can open up the lines to fresh questions.
Operator: My pleasure. Our first question comes from the line of Liana Moussatos with Wedbush Securities. Your line is now open. Please go ahead.
Liana Moussatos - Wedbush Securities, Inc.: Thank you for taking my questions. Can you talk about the growth drivers to maintain the growth that you enjoyed for the past years for the next five years? Looks like Unituxin is taking off, you have Orenitram, implantable pump, anything going on with Remodulin in China and Japan and any new products you think you guys could announce this year?
Martine A. Rothblatt - Chairman & Co-Chief Executive Officer: Liana, it's nice to hear from you. Thanks for your question. The greatest growth driver, which is perhaps very much underappreciated was the one that Roger described in his introductory remarks, which is that with the advent of the new therapy, pulmonary hypertension has gone from a disease which is, generally, on average, fatal within less than three years to one which is – can be chronically managed for quite a number of years. And because the number of people who are diagnosed each year with pulmonary hypertension, in other words, what we would call the incidence of pulmonary hypertension is either steady or actually increasing both with population growth and with more greater awareness from all of the competitive activity. The main fact though is that the number of people dying each year from pulmonary hypertension is shrinking because the longevity of each patient is longer. And of course, when you have a steady or even growing incidence and an extended lifespan as a result of the new therapy, the simple arithmetic is that the prevalence of the disease will continue to increase and the number of patients being treated with pulmonary hypertension will begin – will continue to increase. When we were having these calls just a few years ago, the number of patients treated was 10,000 and then when we had the calls about half that time back, it was up to 20,000. Now, the number of patients being treated is over 30,000. And the extrapolation is that it's just going to continue to increase. As you're aware, the endpoint for the Orenitram FREEDOM-EV study, which, we plan to complete enrollment in 2016, so that addresses one of your questions, and readout in 2017, that addresses another one of your question. The endpoint for that study is to reduce the morbidity and mortality from pulmonary hypertension, which is a fancy way of saying that the patient should hopefully be living longer and the mean survival should be longer. So that in and of itself leads to there being a larger number of patients and we think endpoints like this is going to result in the number of pulmonary hypertension patients cresting 40,000 patients and then cresting 50,000 patients. So with this organic growth of the pulmonary hypertension market, combined with the new therapies that we have such as the implantable pump, the combination therapy with Tyvaso, the Orenitram new label, that all of these things are going to create drivers for future growth in the pulmonary hypertension market, plus the really rapid uptake that we've experienced with Unituxin and the growing list of indications that that type of therapy may be useful for, augurs really positively for the future growth of Unituxin as well. Thanks, Liana.
Liana Moussatos - Wedbush Securities, Inc.: Thank you
Operator: Thank you. Our next question comes from Jessica Fye with JPMorgan. Your line is now open. Please go ahead.
Jessica M. Fye - JPMorgan Securities LLC: Hey, there. Good morning. Thanks for taking my question. I appreciate the color on the average dose of Orenitram at various time points. I guess my question is can you talk about whether you expect that over time physicians might titrate patients faster than they have been thus far? For example, is it possible that looking out into future, patients might titrate up to an average dose higher than what you're seeing right now? Say, at the one-year mark.
Martine A. Rothblatt - Chairman & Co-Chief Executive Officer: Thanks. Dr. Jeffs, could you please provide additional color on Orenitram?
Roger A. Jeffs - President, Co-Chief Executive Officer & Director: Sure. Good morning, Jessica. Thanks for joining the call. So I think we have enough commercial experience now with patients that probably we don't anticipate that the titration slope would change over time. And the reason that – the other thing too, remember, there is a bit of an art to the dosing of any prostacyclin that you're trying to balance the benefit versus the tolerability profile. These are powerful agents that have side effects. So it's an artful and slow titration. And again, as we said, it's a marathon and not a sprint. You're not trying to just dump a lot of drug on board because there's really no need to do that. You want to walk them up to a tolerable dose that's effective. And then as the disease progresses and symptoms revert then you increase the dose to provide them further benefit. So I think the numbers that we've seen, particularly through month 12, I think, are fairly consistent, but it's roughly, if you just did the math, it's about a milligram per month on average across the 12 months to 14 months now. I think what you'll see though, Jessica, is that as patients in the commercial space for us with Orenitram getting to years two, three, and four, they'll obviously need more and more dose of Orenitram. The disease is unrelenting. None of these therapies, ours included, cure the disease. They really are treating the symptoms and trying to improve the clinical outcome of patients. But the disease will progress. The only response to that with a prostacyclin is to titrate the drug and I think that's one of the attributes that we're most excited about with treprostinil from a competitive standpoint is that it doesn't have a dose ceiling. We can continue to manage the patients not only in the short-term, given its pharmacologic profiles, but also in the long-term, given its dosing profile. So, we think it will be the treatment of choice for the foreseeable future for these patients.
Jessica M. Fye - JPMorgan Securities LLC: Got it. Thank you.
Martine A. Rothblatt - Chairman & Co-Chief Executive Officer: Great, Dr. Jeffs. Thank you. Brian, next question?
Operator: My pleasure. Our next question comes from the line of Michael Yee with RBC Capital Markets. Your line is now open. Please go ahead.
Judy Liu - RBC Capital Markets LLC: Hi, good morning. This is Judy on for Mike Yee at RBC. Thanks so much for taking my question. Congrats on the quarter. One question, if you don't mind. Could you remind us – I know you talked about the FREEDOM-EV completing enrollment this year, but could you remind us what other near-term catalysts we could be looking at in the near future? I know there's a March upcoming PDUFA for Medtronic's plant system, but then you said you filed your own NDA and you're trying to get that accelerated. Like, what kind of timetable are we talking about here? And perhaps with the bear market right now, are there any interesting assets you're looking at since, in the past, you've commented about M&A a little bit? Thank you.
Martine A. Rothblatt - Chairman & Co-Chief Executive Officer: Yes. Thanks for the question. Dr. Zaccardelli is on the call and he's responsible for the Medtronic joint venture. So, Dr. Zaccardelli, could you address the question?
David Zaccardelli - Chief Operating Officer & Executive Vice President: Thank you, Martine, happy to. And thank you for the question. Just as a brief recap on our implantable pump program, as you know, it's a collaboration with Medtronic, and that continues to progress. As you mentioned, the PMA is still under review. And we do expect an action date in March. In addition, we have an NDA filed and that has passed the day 60 and is currently under review, expecting a day 74 letter later on in February. In addition, we expect an action date on the NDA in October of 2016. Medtronic continues to answer queries from the FDA regarding the PMA. And depending on the action in March, Medtronic will continue to answer queries from the FDA through 2016 as needed, keeping in mind that we have an active NDA under review at the same time. So we still continue to believe that both the PMA and the NDA could be approved in 2016. And I think that summarizes the status of our current Medtronic collaboration.
Martine A. Rothblatt - Chairman & Co-Chief Executive Officer: Thanks, Dave. Perfect. Next question, Brian?
Operator: Our next question comes from the line of Mark Schoenebaum with Evercore ISI. Your line is now open. Please go ahead.
Mark J. Schoenebaum - Evercore ISI: Hey, Brian, thanks for all the energy. You got a great operator, Martine. I hope...
Martine A. Rothblatt - Chairman & Co-Chief Executive Officer: You know? I felt the same way.
Mark J. Schoenebaum - Evercore ISI: Definitely had his coffee this morning. Hey, I was just wondering if I could turn to the numbers a little bit. Sometimes...
Martine A. Rothblatt - Chairman & Co-Chief Executive Officer: We got James Edgemond on the phone and he knows those numbers in and out.
Mark J. Schoenebaum - Evercore ISI: Okay, great. And I know sometimes you're a little bit more forthcoming in the Q&A and your predictions have proven to be correct more often than not. So, it's a question around Orenitram. So, Orenitram, you said the dose was stable quarter-on-quarter. Starts – new patient starts, however, were up 14%, but sales were only up about 8%. 8% is healthy, but I'm trying to sort this math out. So, what's the difference here? Is it persistence or patients dropping out? Why weren't sales up closer to 14%, maybe it's the pace of starts? And then the follow-on to that is the Street consensus right now is at about $200 million, I believe, for Orenitram, which means you're going to have to continue to grow putting robustly sequentially. And I felt like Roger's comments were – he was being honest in saying, look, with Selexipag launching, it's hard to predict and that could make predicting the revenue run rate for Orenitram more difficult. So, I'm just wondering if you could help us at all with whether or not you're comfortable with roughly where the Street is on Orenitram on the year and then help me reconcile the quarter-on-quarter growth in sales. Thank you very much.
Martine A. Rothblatt - Chairman & Co-Chief Executive Officer: Sure. Thanks. But for those type of numbers, Roger's the person to know in and out of them. Roger?
Mark J. Schoenebaum - Evercore ISI: Okay, great.
Roger A. Jeffs - President, Co-Chief Executive Officer & Director: Yeah. Good morning, Mark, always good to hear from you.
Mark J. Schoenebaum - Evercore ISI: Hey, Roger.
Roger A. Jeffs - President, Co-Chief Executive Officer & Director: So I think the ordering patterns, remember, our customers are the specialty pharmacies and it's a calculus that they have to do that's based on starts, pending referrals, the changing dose for the patients on drug, and then attrition as well. It's kind of the points that you've mentioned. So it's – there's a little bit of art to that in terms of how they predict what their inventory requirements will be. And then they have some contractual requirements in terms of keeping a certain number of days on hand. So, as we've said many, many, many times, there's a lot of quarter-over-quarter fluctuation in ordering patterns. And the better way to view our business, we think, is annually. And even if you look at Remodulin and Tyvaso – and we've done this, if you look at quarterly revenues from 2006 to now, even with these mature products, you're seeing some bounce from quarter-to-quarter. But then when you look at it with an annual lens, you get a much more clearer and cleaner pattern to the growth. I think, for the last five years, for example, our CAGR has been 20% if you include this year's revenues. So in terms of Orenitram and Street expectation, we really – I think if we achieve our goals, which is to add 1,000 patients per year, that we will approach the Street expectation. We have our own expectation for what we want to do. Our annualized – our goal for 2015 was to achieve $100 million Orenitram, we did $118 million. So that's why we say it was a banner year, because we massively exceeded the goal. Part of that is driven by starts, part of that's driven by dose increment over time, that's why we're giving you the longitudinal dose data. And I think where the model potentially inflects a little bit as we go out in time is that as patients mature and get into year two, in particular, and then year three and year four, as you've seen, the dose will increase and then our prevalent patient base will create more revenues because the dose is improving. So we hope to add the patients that we expect this year. We expect that the patients that we have will increase the dose, and as long as we don't lose significant number of patients for whatever reason, intolerance, competitive disadvantage, whatever you want to call it, then we should be fine. So we don't provide forecast, but we're comfortable with what we've said in the past that if we add 1,000 patients per year over five years, that's 5,000 patients. As patients over time reach a, let's say, an average therapeutic dose that will port $200,000 in revenue, that's a billion-dollar product opportunity. So, simplistically, Mark, that's how we look at it and we don't see any reason to shy away from those expectations.
Mark J. Schoenebaum - Evercore ISI: Thank you very much.
Operator: Thank you. Our next question comes from the line of Geoff Meacham with Barclays. Your line is now open. Please go ahead.
Evan Seigerman - Barclays Capital, Inc.: Hi, this is Evan Seigerman on for Geoff. Thanks for taking our questions. So, after you monetize the PRV and kind of a very healthy cash balance, how should we think about potential business development? Would you be looking at assets within kind of your core competencies of the PH space or do you want to explore other therapeutic areas? And kind of what stage would you prefer to get in at? Thank you.
Martine A. Rothblatt - Chairman & Co-Chief Executive Officer: Yeah, we've been very opportunistic in the way that we look at expanding the company. Our core mantra is to identify corridors of indifference and run like hell down them. And that's what we did in the first case with pulmonary hypertension. Nobody was interested in the field, all the patients dying. And we ran like hell down that corridor and are now generating $1.5 billion a year in revenue from that field, up from $750 million in revenue just five years ago. And as we've mentioned at previous calls, we expect these revenues to be able to double again in five years through the growth of Remodulin, Tyvaso, both in the implantable, disposable and combination versions, as well as Orenitram reaching its blockbuster potential of $1 billion. So that's the heart and soul of the company's business development and core expansion. Beyond that, when we saw another corridor of indifference, pediatric oncology, and specifically neuroblastoma with no approved therapy for it, we ran like hell down that corridor. And as a result, I think that we have brought a great gift to the patients, families and physicians caring for neuroblastoma patients with the first ever FDA approval for a drug to treat that indication. And it looks like it will be a gift that keeps giving as people begin to explore the potential of that platform for other oncology indication. And that's pretty much our mantra is just to keep to the – find the corridor of indifference where there are no or no effective therapy and then charge down that corridor to become first and dominant in that field. Thanks.
Evan Seigerman - Barclays Capital, Inc.: Thank you.
Martine A. Rothblatt - Chairman & Co-Chief Executive Officer: Brian, next question.
Operator: Yes, sir. Our next question comes from the line of Phil Nadeau with Cowen and Company. Your line is now open. Please go ahead.
Phil Nadeau - Cowen & Co. LLC: Good morning, and thanks for taking my question. Question that's really kind of a follow on to Mark's, and that is on persistence. You gave us part of the equation of predicting revenue when we look at how dose is going to change over time. But I think it's also important to know what proportion of patients are able to stay on therapy over the long haul. So, was curious if you could share with us some estimate of what the withdrawal rate is from Orenitram, and maybe the reasons for withdrawal when they happen, is it competition or is it adverse events and if so which ones? Thank you.
Martine A. Rothblatt - Chairman & Co-Chief Executive Officer: Dr. Jeffs?
Roger A. Jeffs - President, Co-Chief Executive Officer & Director: Yeah, sure. Thanks, Phil. So, I think we've stated previously that the rate of loss for every 100 patients we start, we lose approximately 15 patients. And the reasons that we lose them are basically from intolerance. Again, these are – treprostinil is a very powerful agent. It does a lot of good things, it also causes a lot of vasodilator type side effects, headache, nausea, GI distress and some other things, as does Uptravi. If you look at their package insert, the profile and type of adverse events is similar, and it's similar to treprostinil as well. So that's the main reason. We haven't seen any competitive loss and, again, it's very early in Uptravi's launch. I don't think switching patients from Orenitram to Selexipag would necessarily be a wise thing to do. There's no idea about dose comparability. As I stated, the receptor diversity is quite different. They're sort of a uni-dimensional IP1 selective agent. We find multiple receptors. Our drug is titratable, so patients that achieve a higher dose may not actually be able to switch to Selexipag. So, we don't see that happening and we don't expect that to happen. The attrition, we look carefully at the rate of loss and trying to minimize the attrition. Again, it gets into that artful practice of making sure new physicians, in particular, change the dose appropriately, that they don't become too aggressive or go to easy because you want to make sure you get some therapeutic effect, so that the side effects are not bothersome. Then, on the other hand, you don't want to go too hard so that you generate too many side effects that the patient wants to come off therapy. So that's a lot of what we do both with our sales team in terms of educating about how the drug was dosed in the clinical trials and then also with our support specialists both from the specialty pharmacies and then through our medical affairs department, educating new physicians, in particular, about the historical and artful practice of prostacyclin dosing.
Phil Nadeau - Cowen & Co. LLC: Great. That's helpful. Thank you.
Martine A. Rothblatt - Chairman & Co-Chief Executive Officer: Excellent answer. Thanks Dr. Jeffs. Brian, you've been wonderful. We have time for just one more question.
Operator: Thank you. I appreciate it. Our next question comes from the line of Joseph Schwartz with Leerink Partners. Your line is now open. Please go ahead.
Brett Edwin Larson - Leerink Partners LLC: Good morning, everyone. This is Brett in for Joe. Thanks for taking my question. I'm curious about what possible changes are on the horizon in PAH from a payer perspective. I'm curious to know if payers are showing any increased willingness to manage access for any of your patients or restrict pricing power on any products. And along that line, have you been engaged at this point – up to this point, in any conversation about outcomes-based reimbursement in PAH? Thank you
Martine A. Rothblatt - Chairman & Co-Chief Executive Officer: Yeah, very – little bit different question there. So, the way we're organized within the United Therapeutics, the function called strategic operations, which includes all of the direct relationships with the major payers both in the U.S. and abroad as well as Medicare. It's managed by James Edgemond, the Chief Financial Officer, and James is on the call. So, James, can you provide some color on that?
James Edgemond - Chief Financial Officer & Treasurer: Yes. Thanks, Martine. Thank you for the question. So in terms of going forward and in terms of reimbursement, we have not seen any significant changes in terms of reimbursement patterns with any of our therapies going forward. And in terms of outcomes-based reimbursement discussions, there's, again, we haven't been able to or haven't had those discussions on a going forward basis as well. And this operation has a very broad team underneath it in terms of Jay Watson, who are in constant contact in terms of the market and the reimbursement aspects of our therapies. And we've been very successful at this point in getting the therapies reimbursed for our patients. And if we're not able to, we actually provide those therapies free to the patients to make sure they're getting the proper treatment.
Martine A. Rothblatt - Chairman & Co-Chief Executive Officer: Excellent. Excellent . Excellent. Well, everybody, thank you very much for joining the conference call and Brian, thank you for organizing it. Please feel free to check back in with our Investor Relations. We present at most of the more important healthcare conferences during the course of the year. Operator, you can now conclude the call.